Nina Willumsen Grieg: Good morning, and welcome to our presentation of Grieg Seafood Second Quarter Results for 2025. My name is Nina Willumsen Grieg. It was announced this morning that I will assume the role of CEO on a permanent basis from today. I'm honored to have earned the Board's trust, and I'm excited to lead Grieg Seafood into this new chapter. Together with me on stage today is our CFO, Magnus Johannesen. Grieg Seafood entered the second quarter of 2025 with a continued focus on executing our transformational journey, finalizing the divestment of our regions in Finmark to Newfoundland and British Columbia to Cermaq in July. As a result of the sale, this update will have a new structure, focusing on Rogaland and separating the financial performance of Grieg Seafood's continuing operations from the discontinued operations. We will also use the opportunity to give you some thoughts on what Grieg Seafood will be going forward. Starting with the highlights of the quarter. The primary highlight was, of course, the sales agreement with Cermaq. Achieving NOK 10.2 billion for our operations not only reflects the quality of our assets, but also provides us with substantial capital in line with our transformation program. Biological conditions remained robust across the company in Q2. While I will not elaborate on the discontinued regions, I would like to state that they were all on or exceeding budget expectations for both production and mortality. For Rogaland, a total of almost 9,000 tonnes were harvested, representing a return to normalized levels compared to the previous year's -- last year's lower volume. Operational EBIT for the quarter amounted to NOK 91 million or NOK 10.3 per kilo, NOK 16.5 looking only on Rogaland. We expect 8,000 tonnes for Q3 and 30,000 tonnes for the year, consistent with previous guidance for Rogaland. Our operational EBIT for the quarter reflects increased headquarter costs due to a transition from 4 to 1 region. To maintain competitiveness, we have begun streamlining our business model to prioritize Rogaland and implement a more efficient headquarter and sales structure. Looking at the operational review, we will focus on Rogaland. And presenting the numbers for Q2, we have not experienced such a strong production environment in many years as many others. This has positively impacted both freshwater and seawater results. And as mentioned, Rogaland achieved an operational EBIT of NOK 145 million, translating to NOK 16.5 per kilo, a result we are very happy with, with the lower price environment. A total of 1.2 million smolt were released to sea, marking the first delivery from our newest facility, Årdal Aqua. All 4 buildings are now in production and the fish performs well on both on land and at sea. The strong production we are experiencing has put the pressure on prices far more than we expected for the quarter. We still had a realized price of almost NOK 75 per kilo, down 12% from last year. We expect prices to remain at low levels, increasing into next year as production normalizes. Farming cost is up from last quarter as we harvest for more cost-intensive sites, but still below the long-term target of NOK 60 per kilo. Year-on-year, the farming cost is down as much as NOK 7 from improved capacity utilization and strong biology. I'll spend some time outlining why Grieg Seafood remains committed to operations in Rogaland. By focusing on our top-performing region in recent years, Grieg Seafood can build on a strong foundation. We manage the entire value chain from row to harvest, both internally and with partners. Our long-term investments have fully equipped the value chain, and we do not have immediate needs for substantial upgrades. Our harvest plant is old, but efficient, and we have access to additional regional harvest capacity when required. A key strength is our early investment in post-smolt, both internally and with partners. These investments have significantly increased our harvest volume over the past 5 years, achieving a hog per MAB ratio of 1.7, demonstrating the benefits of reduced time at sea. And when the cost of land-based capacity is increasing, we are happy that Grieg Seafood is already well positioned. After harvesting several generations of big smolt, we are confident in that strategy and its outcomes. We see significant biological improvements from lower time at sea. The chart to the right is comparing groups of smaller and bigger fish, and it contains all groups harvested from 2019. Feed ratio is reduced and the number of treatments is dramatically down. And as the ultimate result, survival rate has increased from 84% to 89%, a strong figure in this region. And that is results we are incredibly proud of. And with growing emphasis on fish welfare and survival, we are confident that this represents a competitive advantage for the future. And before I give it to Magnus, I see I skipped a slide. So I will go back to that because it's an important one. Because following this transaction, we will take Grieg Seafood in a new direction. Our main goal is to position the company as a highly profitable and stable salmon farmer prepared for the future. We will do this with 4 main changes to our strategy. We will go from global to regional. We will go from supporting several large CapEx projects to prioritizing local opportunities and initiatives. We will go from growth to profitability. And from an operating perspective, we will streamline our organization. The biggest change you will notice is the shift from growth to profitability. While industry trends point towards consolidation, we still believe there are advantages of being small and focused. We still center -- we will center our efforts on being close to our fish and excelling at core operations. Investment opportunities will be considered if they support regional synergies rather than volume expansion itself. And with that, I'll leave it to Magnus.
Magnus Johannesen: Thank you very much, Nina. We have to skip through. I will not say it one more time. I just have to go to the right page. So good morning. My name is Magnus Johannesen. I'm the CFO of Grieg Seafood. Before I will start going through the financial review, I just want to highlight that we are presenting these financial numbers in accordance with IFRS 5 for discontinued operations, which means that we are splitting the financial figures for Rogaland, sales, VAP and our headquarter from the disposal group, which is Finmark, British Columbia and Newfoundland. And going into the profit and loss, I think these figures are quite similar to what Nina just presented, but there's one very big difference. We still have sales. We still have value-added processing, and we still have our headquarter cost. Therefore, there are some different figures on this page than for the region itself and isolated. Looking back at Q2, we had a NOK 6.4 EBIT per kilo -- NOK 6. 4 per kilo in EBIT, and we have been operating in a very low price environment. This will have a negative impact on the NOK EBIT per kilo of NOK 10.5. However, we have had significant cost efficiency and also better operations and biology, which have a positive contribution of NOK 7.1 per kilo. And also due to having a much higher volume than Q2 '24, we also have higher volume to distribute our cost on and therefore, also having a positive impact on the other cost in our group. This brings us down to this year's operational EBIT -- this quarter's operational EBIT of NOK 91 million, representing slightly above NOK 10 EBIT per kilo. Secondly, there is a quite important topic on this slide, and that is the net financial items, which carry the full financial cost of our group as a whole. And this will -- this is expected to be drastically reduced once we revise and optimize our financial structure and balance sheet. But as of now, it will be carried fully by the smaller volume coming from Rogaland. Moving then into cash flow. On cash flow, we have a net cash flow from operations at NOK 351 million, looking at both continued and discontinued operations. If I were to isolate only the continued operations, which is Rogaland sales and VAP and our headquarter, it's an operational cash flow of NOK 356 million, which shows how important this region is both today and also into the future, providing profitable operations. Within this operational cash flow, we also have a positive contribution from changes in working capital of NOK 84 million, of which NOK 43 million is related to changes in biomass. Moving then to investments. The net cash flow from investments is -- come in at negative NOK 212 million, positively driven down by dividends from our associated companies in Tytlandsvik, but also mainly relating to our Adamselv facility, which we are continuing to invest at -- until closing of the transaction. But overall, it also shows that the CapEx that we have today is mainly related to the regions that we are divesting and not the region that we are continuing operating, which also shows how well positioned and strong the investments we already made in Rogaland is. Going then to net cash flow from financing. This is a quite large number of almost NOK 1.3 billion. But at the same time, this is natural as we issued the hybrid bond classified as equity. We have then reallocated this hybrid bond towards repaying the green bond and also doing other allocations within our financial structure. All in all, as expected. Moving then to net interest-bearing debt, which is quite an untypical setup for our NIBD slide. And I will go through this as good as I can. We're starting in Q1 going out of Q1 with the NIBD for the full group. All regions, all operations, both continued and discontinued. Throughout this quarter, we have had a positive contribution from EBIT, EBITDA, as already mentioned, and then other elements [Audio Gap] At the same time, we are -- we're also classifying this as held for sale, which means that we have taken out almost NOK 300 million from the net interest-bearing debt. And the reason for this is that this is relating to leasing and debt only associated with the Canadian operations. But looking at this from a liquidity perspective, NOK 10.2 billion in free liquidity, out of which the credit facility we have available and the cash is sufficient to operate both the continued operations going forward, but also the discontinued operations until closing, which is a very important topic to raise. But also, I think the topic for today is capital allocation. So I will go into that now. And before going through this slide, I just want to take you back to the fourth quarter '24. In Q4, we said that we will prioritize financial stability. In Q1, we said that we will assess all options that we have available for us. And today, I think it's safe to say that we did exactly that. In Q4, we issued the hybrid bond. In Q1, we secured the financial stability. And today, we show that we actually did assess all possibilities when it came to Grieg Seafood, concluding on a divestment of 3 out of 4 regions. And with that proceeds, we will -- we have advised the Board to favor dividends to shareholders. But we still need to go through a process of ensuring that the dividends provided to the shareholders are both sufficient to yield good results, but also reasonable to ensure that we have a robust balance sheet and also liquidity operationally and also non-operationally in terms of the legal processes that we are in. Therefore, we are still -- we are still very clear. We are advising dividends to be distributed to shareholders, but we still want to maintain a strong financial position of it. But those 2 can be combined very well. I'm very sure about that. Looking at this in sum, we're aiming at 50% equity ratio. We're looking at approximately NOK 250 million in operational tax buffer. And then of course, this is not -- this will not affect our prioritization of paying dividends to shareholders. And once -- there's one very important enabler for this is that, of course, the transaction is subject to competition clearance. And therefore, I will spend some time on the key elements in that transaction. Overall, the enterprise value of the transaction is NOK 10.2 billion. And this is on a cash and debt-free basis. Looking at the net debt, we are doing this transaction in accordance with the locked box structure, which is from end of May in Finmark and end of April for the rest of -- of the other 2 regions. Also, we will have a subtraction or adjustment of net working capital totaling to NOK 340 million, which is set in accordance with the locked box date, and this will be in favor of Cermaq. However, given the times we are in, we are -- we also have a compensation element on the EBITDA. This compensation means that all losses that we -- that exceeds NOK 100 million will be compensated by the buyer by Cermaq. And then we have the CapEx. All the CapEx projects that we have done and started and performing now will not impact or affect the proceeds from the transaction. But however, we, of course, will have to maintain the control of the project and not go all crazy and build other new things without asking them first, of course. And when it comes to transaction costs, we will pay our own transaction costs and so will the Cermaq on their side. And in terms of guiding on the process, the process is proceeding very well, and we are still expecting the transaction to close during Q4. However, more close to the middle than in the beginning. And on that note, I will leave it back to Nina to go through the outlook for Grieg Seafood going forward.
Nina Willumsen Grieg: Thank you. Summarizing what we've been through today, we have a clear direction. Our main priority now is to conclude the transaction, as Magnus said, follow through on capital allocation and finalize future objectives. We recognize the importance of providing clarity and we will address these questions as we progress towards closing, maintaining dialogue with all stakeholders. Going from global to regional and from growth to profitability, we have defined 3 key strategic building blocks going forward. We will strengthen, prioritize and future-proof our operations. Our first and main focus is to strengthen Rogaland and ensure continued profitability. We will do this through post-smolt development, MAB optimization and aligning our cost base with our new scale. Looking ahead, it is natural that we will consider potential growth opportunities. However, future investments will focus on projects that truly strengthen Rogaland, prioritizing regional synergies, not just increasing volume. And third, we will also look into how we will position Grieg Seafood for the future. Given regulatory uncertainties, our ambitions and plans remain flexible. The intention is, however, to establish a position that is robust against changing political changes. So with that, I look forward to leading Grieg Seafood into this chapter. And I will end this presentation thanking all our colleagues for their contributions so far. I wish everyone the best for the future, whether with Grieg Seafood or beyond. No results would or will be achieved without you. And with that, I open for questions.
Unidentified Analyst: You mentioned consolidation. Do you see potential for further consolidation in Rogaland or collaborations with other farmers in the region?
Nina Willumsen Grieg: As I said, I think our main focus now is to just position ourselves as a really strong producer as we are. But of course, it's natural for us to look into potential opportunities that might arise.
Unidentified Analyst: [indiscernible] here. On costs and Rogaland, you have been below your longer-term target of NOK 60 kg now for the first half, guide for NOK 60 kg on average for the year, which means that you are above in the second half. How fast will you come down again to your targets? And what's the main driver?
Nina Willumsen Grieg: I think in Rogaland, we are very -- the cost is very dependent on what harvest sites we are -- sites we're harvesting in the quarter. So it will go a little bit up and down. But we are looking into a stable long term. So a little bit up towards the end and then stabilizing towards our target.
Magnus Johannesen: And maybe just to add to that, we were very clear in the first quarter that we will maintain and also implement a very rigorous disciplined cost focus, and that will not change regardless of this transaction. It's cost that we're working on. Prices goes up and down, and we need to be the best on cost in this synergy.
Unidentified Analyst: And on the impact from lower feed prices, where are you currently with post-smolt perhaps a little bit earlier or we should have expected cost to perhaps come down driven by the lower feed prices. How much left is it from -- when you look at current feed price and what you realize now through the -- in the P&L?
Nina Willumsen Grieg: I think we're seeing a reduction in feed prices. But as I said, it's -- and that's part of what we're seeing going forward. But I think we will just state our target for production on NOK 60 kg long term.
Magnus Johannesen: Anyone else before moving to the web? Okay. If there are any questions from the web?
Unidentified Analyst: Then we'll do some questions from the web. First question is, based on the wording, should we expect a onetime dividend of NOK 40 to NOK 45?
Magnus Johannesen: I think it's up to the Board to decide on the dividend amounts, and then it's up to the general assembly to approve that. But as we have said, is that we will advise them on prioritizing dividends, which means that we will, of course, make sure that we go through the process until closing. So it's too early to conclude on any exact numbers, but we are working very hard together with the Board on these things.
Unidentified Analyst: Then we have a question regarding if you want to become completely debt-free or have a lower debt ratio going forward?
Magnus Johannesen: I can answer that. So we mentioned today that we are targeting a 50% equity ratio. And naturally, that means that the other 50% needs to be debt. So we will, of course, have a more robust balance sheet, but it will still be debt in the balance sheet. I think that's important.
Unidentified Analyst: Can you comment any more regarding the expected cash payment from the transaction or how many -- much cash Grieg Seafood will have after the transaction?
Magnus Johannesen: I think anything can happen going forward to closing. I don't want to pre-conclude or say exact numbers, but of course, we will be in a substantial positive net cash position as we also communicated on the 17th of July.
Unidentified Analyst: Is the CapEx level you alluded to fair going forward, including maintenance needs?
Magnus Johannesen: So the CapEx that we have on growth investments have been mainly due to -- mainly in the regions that we are divesting. So what will go forward is a maintenance investment in Rogaland, which is not as significant as they've been in the group before. Thank you, everyone. Thank you very much for coming. I was afraid that Bakkafrost will take the attention, but it looks like we took that one. Very good.
Nina Willumsen Grieg: Thank you.